Operator: Good day, ladies and gentlemen, and thank you for your patience. You've joined the Fourth Quarter Fiscal Year 2017 Catalent Incorporated Earnings Conference Call. At this time, all participants are in a listen-only mode. Later we will conduct a question-and-answer session and instructions will be given at that time. [Operator Instructions] As a reminder, this conference may be recorded. I would now like to turn the call over to your host, Vice President of Investor Relations and Treasurer, Mr. Tom Castellano. Sir, you may begin.
Thomas Castellano: Thank you. Good afternoon, everyone, and thank you for joining us today to review Catalent's fourth quarter fiscal year 2017 financial results. Please see our agenda on Slide 2 of our accompanying presentation which is available on our Investor Relations website. Joining me today representing Catalent are John Chiminski, Chairman and Chief Executive Officer; and Matt Walsh, Chief Financial Officer. During our call today, management will make forward-looking statements and refer to non-GAAP financial measures. It is possible that actual results could differ from management's expectations. We refer you to Slide 3 for more detail. Slides 3, 4 and 5 discuss the non-GAAP measures and our just issued earnings release provides reconciliations to the nearest GAAP measures. Catalent's Form 10-K, to be filed with the SEC later today, has additional information on the risks and uncertainties that may bear on our operating results, performance and financial condition. Now, I'd like to turn the call over to our Chairman and Chief Executive Officer, John Chiminski.
John Chiminski: Thanks, Tom, and welcome, everyone to our earnings call. We're very pleased with our fourth quarter and fiscal year 2017 results which exceeded our expectations. For the fourth quarter, we reported double-digit year-over-year revenue and adjusted EBITDA growth in constant currency across all three of our reporting segments. As you can see on Slide 6, our revenue for the fourth quarter increased 16%, as reported and increased 19% in constant currency to $616.9 million with 11% of the 19% being organic with all reporting segments contributing to the growth. Our adjusted EBITDA of $159.1 million was above the fourth quarter of fiscal year 2016 on a constant currency basis by 15%, of which 10% was organic again with all segments contributing to year-over-year EBITDA growth. Our adjusted net income was $82.6 million or $0.65 per diluted share for the fourth quarter. Additionally, through fiscal year 2017, we recorded revenue growth of 12% as reported and 15% in constant currency with 12% of the 15% being organic which is significantly above our long term outlook of 4% to 6% topline growth. However, it is worth noting that this was partially related to the low comparison point of fiscal year 2016 due to the challenges we experienced due to a temporary site suspension at one of our Softgel facilities. Now moving to our key operating accomplishments during the quarter: First, we recently announced that continuing our successful 20-year collaboration on the development and manufacturing of Advil Liqui-Gels, we entered into an exclusive long term supply agreement to produce the next generation of Pfizer's leading over-the-counter pain relief product with the launch of Advil Liqui-Gels Minis using Catalent's innovative OptiGel Mini technology. This innovative product delivers the same dose of pain relief in a more concentrated fill resulting in a smaller, more convenient capsule. Smaller capsules are easier to swallow for consumers who may have difficulty swallowing, especially for the pediatric and geriatric markets. Advil is one of the world’s leading brands of ibuprofen pain relievers and its Liqui-Gels franchise is one of the most successful dose forms in the analgesics market. This is another example of the 180 plus new products we launch for our customers each year and speaks to our position as the world's leading softgel producer. Next, during the quarter, we announced that we are increasing spray drying capacity at our Pharmatek, San Diego facility. The expanded capabilities are being introduced in response to market demand for solubility enhancement solutions. To further support the development of spray dry dispersions, we've also expanded roller compaction capacity at the site. As a reminder, we acquired Pharmatek in September 2016 to add extensive early phase drug development capabilities bringing spray drying into Catalent's portfolio and expander capability for handling high portent compounds. These strategic investments are the first of several that we have planned for the San Diego facility in the near future. The integration of this strategic acquisition is progressing well, and we're pleased with their early successes. I also want to provide a brief update on our biologics strategy which continues to make great strides. The expansion of our facility in Madison is progressing well and we continue to be on pace for engineering runs in the next few months. Additionally, we've already signed a number of customer contracts for the third train still under construction while also growing a robust funnel of late-stage clinical opportunities, which together should quickly fill the new capacity. Lastly, I want to reiterate that the dynamics of our industry and market continue to remain very favorable and our customers' needs for fewer, bigger, better development and manufacturing partners will continue to be drivers of long term growth. Now I'd like to turn the call over to our Chief Financial Officer, Matt Walsh who will take you through our fourth quarter and fiscal year 2017 financial results as well as provide details on our outlook for fiscal year 2018.
Matthew Walsh: Thanks, John. Please turn to Slide 7 for a more detailed discussion on segment performance beginning with our softgel business. As a reminder, my commentary around segment growth will be in constant currency. Softgel revenue of $257.1 million grew 16% during the quarter with EBITDA growing at 13%, which is primarily driven by the acquisition of Accucaps. As a reminder, Accucaps is a Canada based developer and manufacturer of over-the-counter high potency and conventional pharmaceutical softgel products, and we acquired the business during the third quarter. In the fourth quarter, the business performed well above our expectations and contributed 14 percentage points to the segment's revenue growth at 9 percentage points to the segment's EBITDA growth. Excluding the acquisition, our softgel business grew 2% organically at the revenue line and 4% at the EBITDA line, driven by strong prescription demand and favorable product mix in Europe. This strength was partially offset by consumer health volume declines in the Asia Pacific regions. Our softgel North American and Latin American businesses contributed modestly to the year-over-year growth in revenue and EBITDA. The update for the Drug Delivery Solutions segment is shown on Slide 8. The DDS segment recorded revenue of $270.2 million, which was up 16% versus the prior year with EBITDA growing 23% during the quarter. Recent investments in our biologics business continued to translate into growth during the fourth quarter and remains the fastest growing business within Catalent. We recorded strong revenue and EBITDA growth in our Madison facility driven by the completion of project milestones and larger clinical programs. The SMARTag technology continues to meet proof of concept milestones and customer interest remained strong. We continue to believe that our biologics business is positioned well to drive future growth as indicated by business development signings of Roche, Moderna Therapeutics, Triphase Accelerator, and Therachon AG. The old delivery portion of the business had a third consecutive strong quarter with favorable end market demand for high margin offerings within our U.S. controlled released business, which saw lower volume throughout most of the prior year due to customer supply chain issues that have since normalized this fiscal year as we had anticipated. Our sterile injectables business, which has been relatively flat throughout the first nine months of this fiscal year, recorded strong revenue and EBITDA growth during the fourth quarter driven by increased demand for injectable fill/finish services. Our blow/fill/seal offering recorded results during the fourth quarter that were below the prior year period due to lower volumes and operational challenges resulting from us taking steps to proactively improve our quality and manufacturing protocols and processes at the site, which we expect to continue over the next several quarters. Strategically, market fundamentals continue to remain attractive for this key sterile fill technology. The acquisition of Pharmatek, which we completed during the first quarter also contributed to this segment's revenue and EBITDA growth. Excluding the impact of the acquisition, DDS segment posted organic revenue growth of 13% and organic EBITDA growth of 21%. In order to provide additional insight into our long cycle business, which includes both softgel technologies and drug delivery solutions, we’re disclosing our long cycle development revenue and the number of new product introductions as well as revenue from NPIs. As a reminder, these metrics are only directional indicators of our business since we do not control the sales and marketing of these products nor can we predict the ultimate commercial success of them. For the fiscal year ended June 30, 2017, we recorded development revenue of $165 million, 6% above the same period of the prior fiscal year. In addition, during the fiscal year, we introduced 183 new products which contributed $42 million of revenue, which is 13% more than the revenue contribution of NPIs launched in the prior fiscal year. As a reminder, the number of NPIs is the corresponding revenue contribution in any given period, depends on the type and timing of the customers' product launches which are often driven by regulatory approvals or at the discretion of our customers and thus these figures will continue to vary quarter to quarter. Now as shown on Slide 9 our Clinical Supply Services segment posted revenue of $99.3 million which was up 28% compared to the fourth quarter of the prior year driven by increased customer project activity across all of our core offerings storage and distribution and manufacturing and packaging. Low margin comparative sourcing activity contributed approximately one fourth of the segment's revenue growth. Segment EBITDA increased 34% compared to the fourth quarter of the prior year mainly driven by the revenue growth in our core offerings. Given the low margin of the comparative sourcing activity it contributed only modestly to the segment's fourth quarter EBITDA growth. All of the revenue and EBITDA growth recorded within the clinical supply services segment was organic. As of June 30, 2017 our backlog for the CSS segment was $338 million a 3% sequential increase. This segment also recorded net new business wins of $111 million during the fourth quarter representing a 4% increase year-over-year. The segment's trailing 12-month book-to-bill ratio was 1.1. These indicators continue to support our expectation that this business should continue to growth revenues towards the high end of our consolidated long term outlook. Now the next slide contains reference information. We've already discussed the segment results shown on the consolidated income statement by reporting segments on Slide 10. So moving to Slide 11, this shows in precisely the same format as on Slide 10 the fiscal year 2017 full year performance of our operating segments both as reported and in constant currency. I won't cover the variance drivers in detail since our full year results parallel our fourth quarter results and show similar double-digit constant currency revenue and EBITDA performance across all three reporting segments. The full year 15% constant currency revenue growth or 12% on an organic basis compared to the same period a year ago was likely above our long-term objective of 4% to 6% organic revenue growth per year. Slide 12 provides a reconciliation of the last 12 months EBITDA from continuing operations from the most proximate GAAP measure which is earnings from continuing operations. This principle assists in tying out the reported figures to our computation of adjusted EBITDA which is detailed on the next slide. Now moving to the adjusted EBITDA slide, Slide 13, fourth quarter adjusted EBITDA increased 12% to $159.1 million which was a record quarter for Catalent. On a constant currency basis our fourth quarter adjusted EBITDA increased 15% of which 10% was organic driven by strong performance across all three of our reporting segments primarily Drug Delivery Solutions and Clinical Supply Services. On Slide 14 you can see that fourth quarter adjusted net income was $82.6 million or $0.65 per diluted share compared to adjusted net income of $64.9 million or $0.52 per diluted share in the fourth quarter a year ago. This slide also includes a reconciliation of earnings from of continuing operations to non-GAAP adjusted net income in a summarized format. A more detailed version of this reconciliation is included in the supplemental information section at the end of the slide deck and shows essentially the same add backs as seen on the adjusted EBITDA reconciliation slide. Slide 15 shows our capitalization table and capital allocation priorities. Our total net leverage ratio has improved and is now 4.0 as of June 30, 2017 down from 4.2 as of March 31. The ratio was also down from 4.3 as of the end of fiscal year 2016 and down from our recent high of 4.5 which we recorded during the first and second quarter of this fiscal year. The improvement was driven by the strong adjusted EBITDA growth realized during the year. Note that this leverage ratio is based on actual performance of the acquisitions completed this year. We did not include any pro forma components for anticipated cost savings or full year adjustments of EBITDA as if we owned the companies all year. However, the total incremental deck added to fund the acquisitions is included. So in this way the leverage ratio is conservatively presented. However, if we did the calculation on a pro forma basis, with the only adjustment being to account for the full year EBITDA of the two acquisitions as if we had owned them for the full year, our total net leverage ratio would have been 3.9. We are also very pleased with the amount of free cash flow the business generated this year. We define free cash flow as cash flow from operations less CapEx. And using this calculation we converted more than 85% of fiscal year 2017 adjusted net income to free cash flow. Finally, our capital allocation priorities remain unchanged and focused on organic and inorganic growth. I'll now provide our financial outlook for fiscal year 2018. As seen on Slide 16 we expect full year revenue in the range of $2.16 billion to $2.24 billion. We expect full year adjusted EBITDA in the range of $477 million to $497 million and full year adjusted net income in the range of $192 million to $212 million. We expect in the range of $145 million to $155 million for capital expenditures and we expect that our fully diluted share count on a weighted average basis for the fiscal year ending June 30, 2018 will be in the range of $127 million to $129 million shares. Slide 17 walks through some of the moving pieces that we consider when determining our fiscal year 2018 revenue and adjust EBITDA guidance. The first set of bars brackets the changes that we expect to see in our base business performance which as I mentioned earlier aligns with our constant currency long-term outlook of 4% to 6% revenue growth and 6% to 8% adjusted EBITDA growth. The second set of bars adjusts FY '18 for the full year impact of the two acquisitions we completed this year. Pharmatek was completed at the tail end of Q1 of FY '17 and Accucaps was completed in Q3 in FY '17. The third set of bars highlight the headwind we are facing as we enter into FY '18 with respect to product participation revenues. As we've discussed in the past, this revenue stream for Catalent is small at less than 3% of consolidated revenues but very high margin. And FY '18 absent new product participation signings we will see wind down of product participation revenue within our softgel and DDS segments as some of our larger product participation arrangements move towards the end of their life cycle. The last set of bars brackets the positive FX translation impact to revenue and adjusted EBITDA year on year principally driven by the recent strengthening of the Euro and Pound Sterling in relation to the U.S. dollar. We expect FX impacts related to currencies other than the Euro and Pound Sterling to be generally neutral during FY '18. Lastly, let me remind everyone of the seasonality in our business and highlight our expected quarterly progression through the year. As discussed for several years now, the first quarter of any fiscal year is generally our lightest quarter of the year by far with the fourth quarter of any fiscal year generally being our strongest by far. And we expect that this will continue to be the case in fiscal year 2018 where we expect to realize approximately 40% of our adjusted EBITDA in the first half of the year and 60% of our adjusted EBITDA in the second half of the fiscal year. Operator, we’d now like to open the call for questions.
Operator: Thank you, sir. [Operator Instructions] our first question comes from the line of Tycho Peterson of J.P. Morgan. Your line is open.
Tejas Savant: Hey guys. Thanks for taking the question and congrats on the quarter. This is Tejas. Just one quick question on guidance here, obviously very strong growth on the top line here, but your guidance still seems to suggest slightly muted EBITDA margin expansion, I mean relatively flattish at the midpoint in 2018, is that all due to the product participation revenue dynamics that you touched upon Matt?
Matthew Walsh: Yes, Tejas, that is the key driver, the other driver being the acquisitions that we added during FY’17 do come in at lower margins than Catalent's average, but you've hit on the, you hit on one of the two key drivers there, and the margin accretion that we've baked into our guidance is approximately 50 basis points at the midpoint just to be clear.
Tejas Savant: Got it, makes sense. And then in terms of Beinheim, what exactly is embedded into guidance for fiscal ’18, are you still on track to reach pre-suspension levels of revenue and margin in this fiscal year?
Matthew Walsh: That was never the expectation Tejas. We have been pretty candid in saying that with the enhanced safety and security protocols that we implemented at Beinheim as we brought it back on line that the facility would be expected to run at a steady state level at approximately half of its former level of profitability, and it did so in the FY’17 fiscal year. Our expectations for FY’18 are quite similar.
Tejas Savant: Got it, makes sense. And one final one here from me on the Zydis quick dissolve platform, you have sort of highlighted that possibility a little bit earlier this quarter in terms of eliminating the need for injection based delivery of vaccines. How big do you think this opportunity could be for Catalent and when do you think we should start to see some early commercial scale adoption from your customers?
John Chiminski: The opportunity to deliver vaccines in a Zydis format could potentially be a very large market opportunity. The reality of the situation though is that the R&D for this kind of project will take time. We would not expect to see material revenues from this in anytime sooner than let's say three years out, so it's a terrific – this is a terrific example of the irrelevance and viability of our various technology platforms, but it will move at the pace of healthcare approval cycles which would suggest nothing sooner in three years.
Tejas Savant: Got it. Thanks so much guys.
Operator: Thank you. Our next question comes from Tim Evans of Wells Fargo Securities. Your question please?
Tim Evans: Thank you. Matt my guidance question is a little bit more philosophical in nature. I'm looking at kind of the base business organic growth that you have on Slide 17, it's pretty much dead in line with your long term guidance, which leads me to wonder, are you kind of doing this from a top down place where you say look like the fundamentals out there in the market will support something consistent with what we have put out there for long term or are you really building this bottoms up, here are the projects that we expect to be delivered this year and that just happens to come in right in line with that long term goal?
Matthew Walsh: Our FY’18 guidance is predicated upon detailed bottoms up budgeting processes that we undertake throughout the company. When we supplement that with the results of a strategic planning exercise that we do once a year and that it's a combination of those two things Tim, with the budget being very much a bottoms up exercise, the long term planning work that we do with a combination of bottoms up and top down, both of those - both of those work streams inform the guidance that we have. And yes, it's true our organic growth rates have been running hotter than that 4% to 6% long term outlook. We have thought carefully about raising those long term outlook numbers and may do so in the future, but for this particular communication, we thought it best to keep our long term outlook at the 4% to 6% that we’ve been saying since the IPO. But certainly the underlying strength of the business is encouraging to us, and as we think about our long-term outlook and when we communicate on it, we’re certainly leaning towards moving that number up in the future versus holding it flat.
Tim Evans: And what would be the factors, the kind of structural factors that would create that potential upside just qualitatively?
Matthew Walsh: Whenever we – so from a top down perspective, when you think about how Catalent grows, we go into every year with very good revenue visibility into the long cycle parts of our business, that’s the 7000 products and that will grow somewhere between let's say 2 and 5 points per year. We supplement that each year with new product introductions, which will generally yield about 2 more points of growth in the year that the products are launched and then every year we lose about a point of sales for products that just reached the end of their life cycle. We say products fall off the backend. And it’s the - what we tend to have the hardest time, the biggest challenge forecasting is the new product introductions. So we've had both in number and dollar value, we've had better performance out of NPIs than we would have thought a couple of years ago, but betting that that will continue, it would be nice to have a little bit more data in the trend before we would think about upping the 4% to 6%, but those data points are aligning and accumulating now.
Tim Evans: Very helpful, thank you.
Operator: Thank you. Our next question comes from Ricky Goldwasser of Morgan Stanley. Your question please?
Ricky Goldwasser: Yes hi and congratulations on the quarter and guide. One follow up on the new product introduction. When we think about the 2018 just confirming I assume that in 2017, new products are about 2.3% contribution to growth. So new products are already factored into the 2018 guidance or should we think about them as upside?
Matthew Walsh: We have factored new product introductions into our FY ’18 guidance at about the level that we've seen for the past few years.
Ricky Goldwasser: And when we think about kind of like these new products, what areas are they coming from and what percent of them are coming from biologics?
Matthew Walsh: The new products that we disclosed 183 for example for this year come from all end markets that we pursue. So it's prescription, generic, over-the-counter, VMS these are the four major classes of products that we track. In terms of biologic new product introductions, I would say the answer there would mirror the characteristics of the rest of our business which is it's growing, but it is still under represented in terms of where we would like it to be in terms of mirroring the industry.
Ricky Goldwasser: And what do you think are kind of like holding you back?
Matthew Walsh: Well, so the range of advanced delivery technology platforms that we have can certainly accommodate biologic products, but many, many biologics are delivered in prefilled syringe or vials and Catalent is not a significant player in either of those delivery forms today. We have an injectables business, it's relatively small. We don't have a significant vial presence yet to speak of. And so I would say Ricky that’s what holds us back. As we think about organic growth and in-organic growth we certainly know where we need to expand and we are focusing on those areas.
Ricky Goldwasser: Okay. So just last question as it related at just kind of your thought about for M&A and capital deployment for fiscal year ’18?
Matthew Walsh: Our philosophy on M&A going into ’18 has not changed. We continue to look for acquisitions that enhance our technical differentiation and value to customers. We happened to find two deals in FY ’17 that met our criteria, we executed on those. We believe that there are numerous opportunities for us to grow inorganically and I said we will continue to be quite thorough and aggressive in trying to identify acquisition targets that can enhance our rate of organic growth.
Ricky Goldwasser: Is there sort of a sweet spot that we can think about in terms of how much you're willing to spend on acquisition or what type of contribution to top line?
Matthew Walsh: We don't constrain ourselves that way Ricky. It’s really the slate of opportunities that we are - that we would find actionable in FY ’18 that would - that we would respond to versus Catalent trying to overlay some pre-determined criteria program on top of that. You have to be flexible in this market if you're going to grow through acquisition. I think we have recognized that and we would see ourselves as being quite flexible in terms of completing the kinds of acquisitions that would create real value.
Ricky Goldwasser: Thank you.
Operator: Thank you. Our next question comes from Derik de Bruin of Bank of America. Your question please?
Derik de Bruin: Hi good afternoon, can you hear me?
Matthew Walsh: Yes Derik.
Derik de Bruin: Hey, the weakness for OTC softgels in APAC, could you just go a little bit more detail on that, I was just wondering if that's tied to any sort of this year in some of the Indian markets there has been some discussion about maybe some draw down of inventories and other issues in the manufacturing sort of curious in sort of what you're seeing, so that newer particular business lines generally some broader thoughts on the overall international markets?
John Chiminski: Yes, hi Derik, John here. I would just tell you that if we were to go back two years ago we had some significant strength with regards to our, I would say our non-prescription softgel business mainly driven by really fast growth that we are seeing out of China from a couple of large customers and we really rode on the backs of that growth and then there were some regulatory changes that happened in China that literally flipped that situation completely around this past year. So I would say we’ve responded to it. There was lower margin products for us, so although when we had strong tailwind again significantly driven out of China is primarily revenue driven and that’s gone away, but it is also again then lower margin business. It’s starting marginally now and I would just say that the strength of Catalent continues to be our overall diversification across all markets and across all products.
Derik de Bruin: Great. And just a bigger picture question, I mean in the last six months we've seen a kind of consolidation in the CDMO markets once Capsugel AMR implied that [indiscernible] deal, I guess as you sort of talked about like a broader CDMO landscape and sort of your general feel on the market and any early indications or changes in customer behaviors or just new changes now that there are some new owners of these businesses?
John Chiminski: Yes, sure. I would just say first and foremost that we just talked to the very robust and dynamic in each of the marketplace. That's a first, that's the most important conclusion that you can draw from it. These are very robust businesses that they’re sticky, they are enduring. They are associated with highly regulated business that means that not everybody can play in those categories and we've also been talking about for a long time that, the market wants to move towards fewer, bigger, better suppliers like Catalent. Again because of the regulatory environment, because of there is requirements of our customers for reliable supply, the ability to partner with someone from an overall development and formulation standpoint is they try to variablize their cost or maintain I would say a virtual standing as a company and then leverage someone like Catalent. So that’s probably the main thing that I would draw from what's happening in the marketplace. I will tell you that our customers in this space really do not like uncertainty. So, while there's changes afoot in some of the consolidation that may in the very near term impact some buying decisions by customers, but generally speaking longer term those things tend to settle out you certainly experienced and we went private from Cardinal Health into BlackStone.
Derik de Bruin: Great. Thanks and then just one housekeeping question, tax rate guidance for the year and any changes in that?
Matthew Walsh: So we are advising folks to think about 2018 effective tax rate for Catalent in the 28% to 29% range. This is substantially lower than what we've guided to previously and it results from some of the tax planning work that we've been doing on an international basis somewhat exceeding our expectations in terms of the overall productivity out there, so 28% to 29% for FY’18.
Derik de Bruin: Great, thank you.
Operator: Thank you. Our next question comes from John Kreger of William Blair. Your line is open.
John Kreger: Hi, thanks very much. John, can you talk a little bit more about just the long cycle market pipeline that you're seeing, if you think about the mandates that you've won or lost in the last year what were the lessons learned, is the level of competition changing at all from your perspective?
John Chiminski: Yes so, I would say first of all that the pipeline continues to grow. We've talked about this a lot with all of our investors. The pipeline is up I think something like 50% over the last five years from 8,000 molecules to somewhere over 12,000 and we're starting to see a little bit of a move from 40% of those molecules being biologics to over the next I guess three or four years is going to move to 60% of those being biologics. I would tell you that although there has been consolidation in a few more bigger players it’s still fragmented enough such that we do not really see a significant increase in the overall competitive environment. Customers first and foremost are going after premium suppliers. They are looking for quality, reliable supply. They’re looking for partner formulation expertise and then probably fifth and sixth out of the list is generally priced. And as you know John, given the fact that a lot of the business that we're in are in the advanced delivery dosage forms that are forcibly outsourced we were just kind of a natural player. We are seeing heightened competition in our Clinical Supply Services group. This is a part of our business that is less differentiation. In fact there is little differentiation beyond the service excellence that you can provide and that's also becoming I would say a much more demanding space as the trials get smaller and I would just say generally more demanding for in just in time kind of environment. Just in general I would say John, it just continues to be very, very robust and as my previous comments to Derik around what some of this consolidation has done is again our customers don't like a large - any degree of uncertainty to be honest with you. And in those cases we find ourselves being in a modestly improved competitive situation, but as those things tend to sort themselves out, again maybe over a course of several years or so forth. I don't know if that answers your question John, that’s probably the way I think about it.
John Kreger: It does. Thanks, maybe just one quick follow up, again if you think about the business you won or lost what sort of pricing trend are you typically seeing, is it about neutral or maybe kind of CPI?
John Chiminski: It's hard to say that way, first of all I wouldn't say that we're experiencing pricing pressure, again outside of our more competitive business of the clinical trial supplies business in fact generally just depends, what we're seeing is we're winning a lot of business that tends to be of extremely higher value that's out there because as you know we kind of price to the value that we bring versus something that's "CPI" is so we certainly have CPI escalators in our contracts and execute on those, but up front when were winning the business we're maximizing the value of that particular piece of business and there tends to be a little bit higher value business out there because it's moving towards or more biologics. There is again I would say more advanced delivery forms that is driving that. So we don't necessarily think about price maybe the way traditional businesses do. I mean year-on-year basis with our existing business it feels like we get maybe 1% price because of our escalators, but in the businesses that we win we continue to be I would say a premium pricing environment for our technologies.
John Kreger: Great. Thank you and one last one, if you think about the biologics business and all the growth you're seeing in the market in general, are you seeing that across the spectrum of sort of the size of products or is the outsourcing sort to speak more tilted towards smaller versus larger volume products? Thanks.
John Chiminski: If you're referring to on the biologics front John, I would say that certainly the small to mid-size, mid-sized companies tend to be really the ones outsourcing, but we're also seeing the large pharma also doing outsource of their, outsourcing there. So we're seeing and I would say on both ends with the fact that I think we know that most of the pipeline 75% of the pipeline is really a commercial going to be in this 5,000 liters or less and then there is a certain part of the pipeline that's going to be for the 50,000 liters and more this is probably for, some of the biosimilars and so forth. So I would say from a biologic standpoint it works on both ends if you will. And Catalent's strategy certainly has been to remain focused on the 5,000 liter or less where we can make some very reasonable CapEx investments and get significant growth as we've seen in our Madison facility.
John Kreger: Great thank you.
Operator: Thank you. Our next question comes from Dave Windley of Jefferies. Your line is open.
Dave Windley: Hi, thanks for taking my questions. I am going to focus on Softgel primarily and first of all on Accucaps. So Matt, I think when upon acquisition we talked about Accucaps being 1% contributor to revenue which would been call at circa 40. I think then after last quarter when it performed better than that we were talking about 80 and now this quarter's contribution what annualizes 120. I'm guessing that your diligence was a lot more precise then that portrays. And I guess I just want to understand are we seeing the heavy seasonality in that business that makes this quarter so large or is it really just a lot bigger business than you thought it was when you bought it?
Matthew Walsh: So just to revisit the commentary, when we were on boarding Pharmatek and Accucaps, when I was saying one to two points of growth, that’s those were all the EBITDA line. And yes it's true that especially Accucaps has pretty far outstripped that and I would say what we've seen is just a combination of really strong volumes out of the gate that has enabled us to realize not just top line numbers, but their level of capacity utilization has brought in this revenue at EBITDA margins that were not quite double what we were modeling, but certainly in excess of about 60% to 70% of what we were modelling. So volumes are just strong out of the gate, I don't - I wouldn't necessarily ascribe it to seasonality. I think it's just they've just had a couple of their good products, the order patterns had just been strong, and I don’t know that they'll always be that way, but it's certainly been that way out of the gate, Dave.
Dave Windley: Okay. So I guess as a follow on to that then understanding that as you just said they may not continue to be that strong, but you were thinking about your guidance bridge and your M&A. I think Accucaps was part of 2017 to the tune of somewhere between four and five months and so if I annualize that revenue alone, it's in excess of $45 million. And then you've got another at least quarter of Pharmatek adding there as well, help me understand why the acquired revenue contribution to the bridge is not going to be well in excess of $45 million?
Thomas Castellano: So Dave, this is Tom. I think one of the things we did when we sat down to try to figure out the impact to M&A was to get things back down towards the levels that the business was running at prior to acquisition and what we expected it to run at when we acquired it through the levels at the deal model. As Matt said, I don’t know that the levels that we're seeing out of Accucaps primarily is necessarily sustainable. So we didn't - were annualizing what we've seen for the first four or five months as what that business is going to run at into next year we feel is a little aggressive. So we've taken that back in the guidance. I think is it conservative? Potentially, there may be an opportunity there for a little bit of outperformance, but I certainly wouldn't expect this business to continue to run at the levels that we've seen through the first five months of ownership and that's what the guidance assumes.
Dave Windley: Okay, thanks for that. On the NPIs to an earlier question, my understanding there you had a very you might call bumper crop or whatever of NPIs in 2017, both I think in terms of number and also in terms of their revenue contribution which I would intuit to mean that the 183 were perhaps a richer mix of say RX and generic OTC as opposed to VMS relatively compared to prior years. If you get a – if I guess first of all is that right and then secondly if you get kind of prescription rich mix of NPIs, could we safely project forward that that vintage that crop continues to be an outsized contributor into their subsequent years?
John Chiminski: Okay. So Dave, John here. Just two parts to that question. First of all, I would tell you that we certainly have seen accelerating numbers of NPIs. So we’ve been kind of accelerating towards 180 plus number if you will over the last couple of years and you should have similar of that higher total numbers this year although if you were to take a look at the actual revenue that we've gotten from those NPIs over the last couple of years, this year was certainly higher than it was last year. But it was with the similar number of NPIs they just happen to have higher contributions and a little bit higher revenue and part of that comes from when do they actually get launched within the year. So I would say this year was slightly better than previous years, but mostly from when we were actually launching those, which get a higher number or higher revenue contribution starting earlier in the year than prior year. So I think that plays out if you were to go back and look at our first and second quarter earnings release, we kind of talked directly about that. As you know, we operate with most products generating $1 million to $2 million worth of revenue, so we're generally not looking for any one single block for sure. But if we do have an outsized starting year that bumper crop as you call it tends to contribute a lot going forward, but we've been talking about the range of $40 million if you will and that's not going to come in at a double the rates or so forth. Ours is a game of collecting as many molecules as we can doing development and then launching them and what changes our quarterly predictability is the volatility of the launch, when it’s launched within the year and so forth and that's why we have some of this quarter-to-quarter volatility. But in general I would tell you that we are seeing increasing NPI launches, modestly increasing NPI revenues as we start to launch more of those at the beginning of the year versus just at the end of the year and it continues to be a bellwether for I would say the long term growth aspects or prospects of the business.
Dave Windley: Super, thank you for that, I appreciate it.
Thomas Castellano: Okay. The only other thing I would add to John’s answer, John referenced timing when in the year these products launched, the other piece that really comes into play is how our customers strategize for the launch. Some of them really filled the pipeline on the anticipation that the product will be very successful, some of them do soft launches where they don't stock heavily and they're going to wait and see how the product gets off in terms of scripts being written, so just another point is to - the difficulty in trying to forecast the revenue contribution from NPIs is the toughest thing that we do from a forward-looking perspective.
Dave Windley: Got you. I appreciate that. Thanks a lot.
John Chiminski: Thanks Dave.
Operator: Thank you. Our next question comes from Sean Wieland of Piper Jaffray. Your line is open.
Sean Wieland: Thanks. So I'm curious about your views on the opioid abuse deterrents like the Acella contract that you announced during the quarter, I guess more broadly what do you see as your role in addressing the opioid abuse crisis and how do you think you’re positioned there?
John Chiminski: I would just respond that obviously the opioid crisis is urgent issue here in the U.S. Catalent's advanced delivery technologies has opportunity with some of our abuse deterrent technologies we have something that's called OptiGel Lock. We have partnered to try to win business and do development on abuse deterrent technologies. Catalent sees this as again another important dose delivery mechanism that we have within the company.
Sean Wieland: Okay. And then maybe a quick one on the Advil Liqui-Gels, is that an incremental revenue or margin opportunity from that or is that – does that kind of cannibalize the existing revenue source?
John Chiminski: Well, so we don't talk about margins of individual products, but for something like Advil, we would envision that there may be some incremental economics here, but there will be a considerable amount of swapping if you will from the current side to the mini. Well we’re in sort of wait and see mode. Some of this will depend on how Pfizer markets the two dosage forms but we would expect that there would be some pretty significant replacement. But the overall economics for Catalent should be fine to improving.
Sean Wieland: Okay, thanks so much.
Operator: Thank you. Our final question comes from Michael Baker of Raymond James. Your line is open.
Michael Baker: Thanks a lot. I was wondering given the ramp in the biologics business if you could give us an updated view on your margin expectations in that segment relative to the base and how it's shaping up so far relative to those expectations?
John Chiminski: The DDS segment as a whole has the highest margins of any reporting segment within Catalent. biologics is certainly above that average. What we have found over the past couple of years is increasing margins on capacity utilization, so Madison was built new and commissioned in 2015 and as we fill that site the benefits of utilization saw increasing margins. Overall, though I would say in the in the marketplace there is certainly a situation where customer demand is exceeding supply across the industry that tends to lead to some favorable pricing dynamics here in the near term which has been helpful to our margins and that is factored into our FY’18 guidance already.
Michael Baker: That's helpful. Thank you.
Operator: Thank you. At this time I'd like to turn the call back over to Mr. Chiminski for any closing remarks. Sir?
John Chiminski: Thanks operator and thanks everyone for your questions and for taking the time to join our call. I’d like to close by reminding you a few of our key priorities for fiscal year 2018. First we’re confident and committed to delivering fiscal year ‘18 result consistent with our financial guidance which is aligned with our long term outlook of 4% to 6% revenue growth and 6% to 8% adjusted EBITDA growth. Next, we're committed to building a world-class biologics business for our customers and for patients and look forward to another year of double-digit revenue and EBITDA growth from our core biologics offering. Operations, quality and regulatory excellence are at the heart of how we run our business and remains the constant focus and priority. We support every customer project with deep scientific expertise and a commitment to putting the patient first in all we do. Lastly, we’re well positioned to capitalize on our industry leading partnerships and the potential for consolidation. We continue to target tuck-in acquisitions that we can integrate swiftly and efficiently in order to maximize value to our holders as evidenced by the acquisitions completed during fiscal year 2017. Thank you.
Operator: Ladies and gentlemen, this concludes today's conference. Thank you for your participation and have a wonderful day.